Operator: Good morning.  My name is (Vanessa) and I will be your conference operator today.  At this time, I would like to welcome everyone to the Terex Corporation second quarter and 2012 financial release conference call. All lines have been placed on mute to prevent any background noise.  After the speakers' remarks, there will be a question-and-answer session.  (Operator Instructions)  Thank you.  I would now like to turn the call over to Mr. Ron DeFeo.  Please, go ahead, sir.
Ron DeFeo: Thank you.  Good morning, ladies and gentlemen, and we appreciate your interest in Terex Corporation today.  On the call with me this morning is Phil Widman, Senior Vice President and Chief Financial Officer; Tom Gelston, Vice President of Investor Relations; and participating on the call either on the call or in this room here and available to answer your questions will be our leadership team including our business segment presidents and geographic representation. As usual, a replay of the call will be archived on the Terex website, www.terex.com under audio archives. I'll begin with some overall commentary and highlights and Phil will follow with a more detailed financial report and I'll give you some segment comments before we open it up to your questions. I'd like to ask – a request that you ask one question and a follow-up in order to give everyone a chance to participate. For this call we prepared a presentation to guide through our commentary.  This is available on our website and we'll be using it, so I'll begin by referring to the forward-looking statement on Page 2.  I encourage you to read and review the material as well as our other disclosures available in public documents. So now let me begin on Page 3.  The second quarter results demonstrate the potential as well as the opportunity that remains for Terex investors.  We believe our performance will improve substantially over the next several years. It will do this as we focus on those factors that we feel we can control and continue to improve our execution.  The numbers in the quarter represent a good start.  Earnings per share of $0.75 reflects favorably with last year's level of an adjusted $0.10. And on a year-to-date basis, we reported an adjusted EPS of $1.04.  That of course compares with a modest loss in the prior year.  These results were driven by excellent performances within our aerial work platform business, materials to processing and crane businesses with significant positive contributions also coming from construction and the new MHPS segment. This performance should begin to frame the multiyear potential that we believe exists within Terex as we concentrate on improved execution at all levels.  I'll highlight some of the details in a discussion following Phil's comments by each section. But overall our margin improvement resulted from better price realization, securing some supplier cost reductions and harvesting the restructuring activities taken in 2011.  We will continue on this path for the remainder of this year as well as staying on course with Demag integration in the MHPS segment. Lastly, as EBITDA and earnings performance improves, we expect this will result in further cash generation allowing us to improve the balance sheet by a combination of both debt reduction and the lowering of our cost to capital. Excluding our newly acquired businesses, we experienced our strongest growth in North America.  Our European businesses did grow in the high single digits for the first six months of the year and our developing markets business was stable. We understand that the markets are nervous and, although, we do see signs of some weakness, we believe the strong markets will offset the weak ones. This environment has been factored into our guidance.  We are increasing our full-year 2012 outlook from a range of $1.65 to $1.85 per share to $1.95 to $2.05.  We believe at this point in time the strength from our crane and aerial work platform segments will offset whatever weakness we see in our construction, materials processing and overhead industrial crane businesses. Now I'd like to turn it over to Phil who will cover the numbers in detail and I'll review some of the segment information following Phil's commentary.  Phil?
Phil Widman: Thank you, Ron, and good morning.  On Slide 4, we provide a summary of our net sales by geography and segment.  While North America represents 37% of total net sales, it has been the strongest market mainly for our AWP, cranes and material processing segments with the MHPS service business also contributing to growth. While problems facing the Euro zone economies are widely reported, overall our European net sales increased modestly year-over-year when excluding MHPS.  We expect and are seeing European softness in materials processing and construction for the second half business and are adjusting our production schedules accordingly. We see mixed results in the rest of the world, with Australia, Middle East and Africa strong for most products.  China has remained stable for us.  Brazil is providing good crane demand but softness remains in road building.  Russia was good for construction in the first half but due to order softening we expect a weaker second half. Overall net sales by segment reflects a level of positive sentiment on the prospects for AWP continuing to accelerate moderately through this replacement cycle and crane's demand for all terrain and crawlers firming up while rough terrain products continue to expand in most markets. Construction demand is down in Europe in general with particular note in material handlers given reduced steel pricing and truck order patterns continue to be inconsistent. MHPS is mixed with our port solutions and services businesses generally on track.  However, industrial crane demand, namely in Europe, and profitability is behind our expectations. Materials processing has performed well but has seen recent softening in European crushing and screening demand which will likely affect second half performance. On the next slide we have displayed the second quarter performance for the continuing operations of the company.  Consistent with our first quarter results, we continued to see the impact of recovering North American market, softness in Europe in certain product areas and, while developing markets still provide growth opportunities, there are inconsistencies. Net sales increased 16% over the prior year quarter, excluding the impact of the Demag Cranes acquisition and foreign currency.  Sequentially, net sales increased 11% mainly in AWP, cranes and materials processing. Overall operating profit reflects our continued emphasis on what we can control as our price realization and cost reduction actions are on track and we continue to aggressively respond to changing market conditions. This is evidenced from the improving gross and net margin trend sequentially and year-over-year.  The significant improvement in gross margin of 440 basis points excluding MHPS compared to the prior year is primarily due to the improving AWP, cranes and materials processing operating performance and the construction turnaround to profitability. As a result of the year-over-year cost reductions in SG&A provided in the cranes and construction segments, adjusted overall SG&A as a percentage of sales declined by 270 basis points, excluding MHPS, to 10.3%. Operating margin was 8.7% in total and 9.9%, excluding the acquisition of Demag Cranes AG.  This compares to an adjusted operating margin of 2.9% in the prior year quarter. Pricing in the 2011 restructuring actions provide two-thirds of the differential improvement with the remainder being volume leverage. Earnings per share in the second quarter were $0.75 compared to an adjusted $0.10 in the prior year quarter.  The prior year's quarterly result excluded the benefit of the gain on sale of the (Recyrus) International shares partially offset by other items, mainly restructuring. While we had some headwinds in the 2012 period, like foreign currency, the guaranteed payment to the minority shareholders of Demag Cranes AG and the loss on early extinguishment of Demag Cranes AG debt, they were largely offset by other items such that in the aggregate did not have a significant impact on income from continuing operations. The effective tax rate this quarter of 35.4% was slightly better than our expectations and we would expect the full-year rate to be approximately 37%.  We generated free cash flow of approximately $155 million in the quarter as we were able to limit working capital growth during this busy season.  And the improved profitability flowed through. Working capital as a percentage of second quarter annualized sales of 27% declined from 30.5% sequentially and 33.2% in the prior year quarter.  While we have made some progress in velocity, additional potential remains. Cash generated from operating activities was $96.3 million in the second quarter of 2012 compared to a use of $142.3 million in 2011. The improvement in performance is also reflected in the increased return on invested capital of 7.9% for the trailing 12-month period. On Page 6 we have displayed the order backlog trend with detail by segment.  In the press release, we have provided a table displaying the foreign currency impacts on the change in backlog year-over-year and sequentially. As we look at the backlog, there are a combination of factors impacting the trends such as product and geographic diversification, seasonality and also the lumpiness of orders for some of our larger-sized equipment or businesses that negotiate large contracts or annual agreements such a sport equipment and AWP. Starting with AWP, the fluctuation in backlog reflects the impact that large rental companies in North America have on the seasonality of this business.  The negotiation season for these customers begins during the summer and fall with large orders generally being placed by fourth quarter or early first quarter for the majority of deliveries in the peak building season in North America, which is the spring and early summer. This is a practice we anticipate to continue and, in fact, may even accelerate as customers already indicated they would like to begin discussions on 2013.  We take this as a very good sign of the overall market. As you may know, we announced an average 3.4% price increase effective for 2013 deliveries to properly plan and meet year-end business and customer needs. The construction segment has historically been more exposed to the European region than several of our other businesses, 37% to 38% of sales to Western Europe.  And the overall uncertainty on that region is reflected in the current slowdown that we are expecting. In addition, the truck business and the material handling business, which is closely tied to scrap metal prices has seen softness in recent weeks globally. The crane segment has been impacted by the lumpiness of orders from both our Terex port equipment business as well as the larger-sized all terrain and crawler cranes impacting year-over-year as well as sequential comparisons. Compared to the prior year's second quarter, the current period backlog is virtually flat excluding the foreign currency impact.  But the product mix is more diversified. The demand for our rough terrain cranes in North America, Middle East and Latin America remain robust along with our other cranes in Australia.  Recent positive trends in demand for all terrain and crawler cranes have largely firmed up our second half production for these products. The material processing segment, similar to construction, continues to see weakness in Europe.  Although North America remains a strong market, we expect to see some softness in this segment in the second half of the year and, similar to the construction, we'll be aligning production capacity accordingly. MHPS backlog levels have remained relatively consistent over the past several quarters taking into account some of the larger port equipment orders.  We are heading into the peak season for the service activities, which we expect will help drive profitability in the third quarter. We have secured two large orders worth more than $200 million over the next several years from a major European port that will allow us to showcase our equipment and technology. From a backlog perspective, however, the deliveries are outside of 12 months and, as such, are not reflected in the numbers. On Page 7 we have updated our outlook for 2012 with expected net sales of $7.5 billion to $7.8 billion.  The decrease from our earlier outlook is due mainly to the weakening Euro where we have assumed the rate of EUR1.24 per $1 in our second half forecast, which yields a negative $200 million to $250 million impact to our net sales outlook. For adjusted earnings per share, we expect to be between $1.95 and $2.05.  This outlook reflects the expectations that positive trends in AWP and cranes will largely offset weaknesses expected in the other segments and currency headwinds on operating performance. We also have included the approximately $0.05 cost impact per share in the second half for the guaranteed payment to the minority shareholders of Demag Cranes AG.  This is pursuant to the domination and profit loss transfer agreement.  And for planning purposes, we are assuming a 37% full-year tax rate and 114 million diluted shares. Let me turn it back to Ron.
Ron DeFeo: Thank you, Phil.  Terex continues to be a work in progress as we focus on the three things we set out at the beginning of this year: margin improvement, cash generation and Demag integration. We are particularly pleased with our second quarter execution and anticipate that we will continue to keep spending down, costs under control from suppliers and improve our margins through better price utilization. The overall performance is what we set out to achieve as we began this year.  This also reflects what we began working on 2011.  The pattern is similar for the first half results.  And now for some more comments on Page 8. The AWP segment remained strong and is anticipated to continue this way for the next several years.  Our view is one of moderate growth.  Our emphasis will be on diversification of sales, a continued delivery of solid margin performance as we just announced the 3.4% price increase Phil indicated for 2013 and the introduction of several critical new products later this year. Our customers are focused on fleet management in a very disciplined way.  This indicates that they will replace aging fleet thoughtfully over time.  Rental rates are excellent.  Utilization is high.  Used equipment values continue to increase such that we are highly confident that our customers will require fleet for the balance of this year and for the next several years.  The only question becomes how much. So our view is moderate, not extraordinary growth and diversifying sales by concentrating on new markets and introducing new products. It may be helpful to know that the combined North America and European AWP market is only at 63% on a unit basis of where it was at the prior peak and the North America material handler market is only at 74% of its prior peak. It also might be helpful to know that our Western European AWP business for the first six months of 2011 was flat compared to the prior year and adjusting for currency suggests actually a moderate increase. We're excited about what we're doing within this business segment and we look forward to explaining to you in more depth when some of our new products are introduced later this year and the next year. Turning to Page 9, we are pleased with our construction segment in that it achieved a moderate profit in the quarter.  The work our team has done to reduce costs is reflected in the substantially lower SG&A rates. Having said that, we are expecting a softer second half and the two most profitable parts of this segment, our material handler as well as our trust business, are experiencing market weakness. But this team does a good job scrambling.  Overall we believe this segment is performing at slightly better than break even and it will continue to work both as strategic as well as the operational issues to drive improvements. There are spots of good news here as well.  We recently received a fairly large order for our cement mixer business.  This business has performed very poorly over the past four years.  We have returned this business to break even at very low volume and now it's beginning to improve. Turning to our crane segment on Page 10, we had an excellent quarter.  As noted in the press release, we will be realigning the port equipment business within the new MHPS segment beginning July 1, 2012, so we have already done that. Excluding the port equipment business, the crane operating margin in this quarter was approximately 11% with net sales approximately – with net sales up approximately 10% adjusting for the weaker Euro. This is a very good performance and, as Phil mentioned, the backlog looks positive in the balance of the year and our teams believe that this later cycle category is beginning to improve particularly in the higher margin units. We also have some exciting new product opportunities planned for later this year and early next year which we anticipate will further strengthen this important business segment. Turning to Page 12, our new MHPS segment, we continue to be on track with the port solutions and services portions of this business.  A well document and detailed integration plan has been developed and is currently in the process of being executed. Savings that exceed the $35 million target have been identified and are in process of implementation.  We will realize about $10 million of savings this year, somewhat offsetting the industrial crane market weakness in Europe in particular. We have been able to secure two remarkable orders from the automated guided vehicles business, the port business from a large European port.  As Phil indicated, these represent over $200 million in new business over the next several years. Since the timing of these deliveries are beyond the 12 months that we normally only report in our backlog, they are not in our backlog at this point in time.  The technological advancement that these ports will have as a result of showcasing our technology will be for others to see for many years.  We're pretty excited about this. Overall, we expect the MHPS segment to be an excellent performer for Terex over the mid term but there is still much work to do on integration. Lastly, on Page 12, the material processing segment had a terrific quarter but it does see some weakness in the second half of the year.  However, this segment continues to diversify its net sales as active projects are underway in India, China and several other developing markets and I believe we'll be able to mitigate some but not all of the weaknesses in the latter part of this year. In summary, on Page 13, we feel Terex has turned the corner.  We're more focused on margins than share.  We will continue our cash emphasis following the first half free cash flow performance of $239 million.  The opportunity to drive value is substantially still in front of us. On a trailing basis, we had a 7.9% ROIC.  We need to get this to 15% and we feel we can in the coming years.  Also, we believe the opportunity to lower our debt and to improve our balance sheet, as mentioned earlier, is a very tangible opportunity. This will be a focus in 2013 and beyond.  And lastly, while we know there is uncertainty in existing markets and there is always the potential for the unplanned calamity, we are resolute in our belief that tomorrow will be better than today for the next several years at Terex. Given the substantial work still to be done on the integration of portfolio management and the capital structure, it's difficult to just say what our full potential is.  Let me assure you we will continue to work with the mentality of day-to-day improvements leading to long-term value creation.  So now let me open it up for your questions.
Operator: (Operator Instructions)  Your first question comes from the line of Jamie Cook – Credit Suisse.
Jamie Cook: Two questions, one, Ron, how do we think about your aerial work platform margin targets, the 10% to 11% of the year in the context of the margin you put up in the second quarter?  And was there anything in the second quarter that – I get there's seasonality to the business but that you view as sort of not sustainable? And then my second question within (areals), if you look – I understand there's lumpiness in orders but if you do look at the order trends, it's the lowest order quarter you've had since 2010, so just your visibility there and how much of the growth in the back half of the year is dependent on independents coming back in and what you're seeing from them?
Ron DeFeo: I’m going to make a comment and then ask Tim to comment on these.  First, with regard to the sustainability for our margins, when we set the annual margin target of 10% to 11% for AWP, it of course was coming off of a year where the margins were about half that rate. And having a sense of what 2012 is going to be was somewhat difficult.  I think what the second quarter does for us is it clearly solidifies that margin level is achievable, perhaps beatable but clearly achievable at this point in time. And I think we feel quite positive about that.  Phil wants to make a …
Phil Widman: Yes, I think just to add to that, Jamie, certainly the third and fourth quarter are not as strong a period as the second quarter.  And particularly the fourth quarter is always a little bit of the wild card.  So that also plays into this with different holiday periods, shutdowns and so on, so I think good progress in terms of the mix.
Ron DeFeo: Yes, and let's kind of see how we do.  With regard to the trend of the orders, I’m going to turn that over to Tim.  He can comment also on the margin and the trends of the orders.  Tim?
Tim Ford: Regarding margins, I think we had a really good first half.  We do have some second half planned shutdowns, as Phil mentioned, that will probably have an effect on productivity.  But the pricing that we saw in the first half we think will continue through the second half.  So I think we're feeling pretty good about where we are from a margin standpoint. With respect to orders, I think the thing to keep in mind, I've looked back over several years and trying to understand this myself.  The second quarter historically is the lowest order quarter for us in the year.  We've gone a couple years where that hasn't been the case but for the most part the second quarter is our lowest order quarter. We're getting some pretty strong indications from customers that we think will lead us to a good first half of 2013 but we'll see what happens in the second half.  But the second quarter doesn't really concern me from an order pattern standpoint.  And the messaging we're getting from our customers is very strong. I think we're in the midst of a full-fledged recovery and we feel pretty confident that that's going to continue on.
Operator: Your next question comes from the line of Robert McCarthy – Robert W. Baird.
Robert McCarthy: Everybody, I'll add my congratulations particular to managers in the crane segment where this 11% margin export equipment is very impressive, especially in the context, Ron, of the longer term 12% to 13% target that you had established for the segment. I’m wondering how removing port equipment from the segment would influence that longer-term target.  Is it a point or two on top of what you've previously been looking for?
Ron DeFeo: Well, I think – Robert, I think there's that potential there.  I think the other thing that's important is that doesn't change the company because that port equipment business will go over to our MHPS segment. But I do think the MHPS segment will be strengthened by having the historically port equipment that we had combined with the (Gotwald) and port equipment business that the Demag Cranes brings to the table.  So net-net we'll be able to build a more efficient business.  I don't know.  Kevin, do you want to comment on your margin views?
Kevin Bradley: Obviously we feel good about how the quarter played out.  In terms of going forward, in the near term we've got pretty good visibility through our backlog in terms of maintaining strong margins throughout the rest of the year. In terms of the longer-term outlook, the macro economies we have to keep a close eye on but we feel pretty optimistic that the opportunities in front of us to continue to improve margins are significant.
Ron DeFeo: Yes, I would add to that that the big fear everyone had in the crane business – and I can't tell you how many people encouraged me to get out of the crane business – was that the Chinese were just going to come in and just wipe us clean and take us over. I think long term there will be a Chinese or two player in the business that will have solid products that they can market globally.  But I think the fear of that happening is being mitigated and I think customer confidence is actually growing. I think people will pay for value and I think that's what we're seeing.  So overall, if you stick to your knitting, focus on technology, focus on customer relationships, you're going to get rewarded and keep your SG&A spending down. And this last quarter, the team in cranes actually got their SG&A level down to about 10% as did the AWP guide – organization, which his really, really where it needs to be at about this stage of a recovery. We have said that as a company, excluding the MHPS business, we'd like to have SG&A below 10% toward the peak and the 12% range in the trough and kind of manage it. We got out of whack a little bit as we sold off our mining business and had extra cost to carry.  Now we're getting back in line.  So I think that's an important element of this as well.
Operator: Your next question comes from the line of Jerry Revich - Goldman Sachs.
Jerry Revich: I'm wondering if we could just dig into the crane performance in the quarter a bit more.  I guess can you bridge for us the EBIT improvement, what proportion of that was pricing, what proportion was the payoff and restructuring efforts, so we can better frame how much of a tailwind we have in the back half if you don't mind?
Phil Widman: Yes, Jerry, let me try to bridge this for you in terms of the quarter year-over-year.  So we have about nine points of operating margin improvement, roughly 2.5% or so came from price.  About 3.5% to 4% came from the restructuring and cost year-over-year that we had and the rest was some of the other reductions that we had in general.
Jerry Revich: And in terms of across your broader business, Phil, you mentioned deliveries in Europe were pretty strong in the quarter.  I'm wondering if you could comment on orders, give us a sense for where was book to bill strongest in the quarter for which of your businesses and which were more challenges in Europe in the quarter.
Phil Widman: Again, these will be general comments, but the challenges in Europe have come from construction as we mentioned, and that's partly driving the backlog down that we had. Across most of their product lines and in particular in the material handling side and trucks, while strong in revenue in the first half, the order pattern has been very inconsistent in terms of what we had. Material processing is the other one I would point out.  Europe has been very soft for the crushing and the screening portion of their business and I'd say, as Ron mentioned, AWP was relatively flat year-over-year in Europe. Cranes, I think the thing that I would point out is last year's second quarter, we canceled almost $200 million of orders out of the backlogs in the crane segment largely because of European softness.  So that and relate the price improvement a little bit on Kevin's business.  We had to re-salvage those products that we had in inventory if we had them in inventory. This year, the backlog and order pattern is a lot more diverse and although you see our European revenue in total at about 28% for the company, some of that is sold in the crane business to folks who have worldwide fleets.  So approximately maybe 10% of that or 5% to 10% of that would actually be for demands outside of Western Europe. So I think the positive side in the cranes area, the stability, relatively speaking of the AWP group and then the down in materials processing and the construction segment and HPS, again our softness, tends to be in industrial cranes specifically in the European.
Operator: Your next question comes from the line of Ann Duignan - JPMorgan.
Ann Duignan: Ron, I just would like to take a step back.  I mean, your margin performance was impressive across the board and I like the bridge that you just gave us on the crane piece. But could you talk more generally about what do you think was the one most important action that you've taken over the last year that supported the improvement in the margins? Is it really the restructuring from last year?  Is it pricing?  Is it volume?  It'd be just interesting to understand what you think was probably the most important actions that you've taken in business over the last year or more.
Ron DeFeo: I think in the beginning of 2011, the entire leadership team decided it was going to get back to basics.  We're going to focus on what made Terex Terex and we were going to do the things that got us back on our toes and off of our heels.  That meant we were going to cost control and we were going to do the things that we could control. We decided as the leadership team that our SG&A was too high.  We decided that margins were more important than growth.  We decided that cash generation was the key to our survival.  We are an acquisitive company and to be acquisitive and to continue to drive that, we had to achieve the basics. So it was getting our management team aligned around the basics and we have an executive leadership team now that meets regularly, doesn't always agree but really works as a team across geographies, across products and has a common sense of where we're headed and that to me is what Terex today is all about and how it's different than the Terex of a few years back.
Operator: Your next question comes from the line of Rob Wertheimer - Vertical Research.
Rob Wertheimer: So again, great results, and I wondered if you would be willing to do the same walk on AWP as Phil just did on the crane side on the price versus internal (inaudible).
Phil Widman: Yes, for the 2Q, basically we got about 4.5% to 5% coming from price, relatively speaking, and the cost piece – I would say a lot more leverage -- a little more leverage in terms of what we had, about 5%, as well.
Ron DeFeo: From volume.
Phil Widman: From volume leverage, yes.  Did you get that, Rob?
Ron DeFeo: Operator, just let them stay on the line a little bit longer so we can make sure we responded to the question.
Operator: Yes, sir.
Phil Widman: Yes, let me just clarify.  It's about 5% on pricing and 3% on the leverage.  That's of the margin improvement.
Ron DeFeo: Margin change of about eight points; right, of the margin improvement of eight points, 5% (inaudible) volume.
Operator: Your next question comes from the line of Schon Williams - BB&T Capital Markets.
Schon Williams: I wonder if you could break out the order growth that you actually saw within material handling and port solutions?
Ron DeFeo: Well, the order growth in material handling and port solutions, first of all, it's difficult to make that comparison against Terex of last year because we didn't own the business then, all right. And the other thing I wanted to emphasize is that none of the new business that we indicated comes from – is in our backlog.  That $200 million of business is not yet in the backlog but I think I'll let (Ice Rom), who's the CEO and President of this business – of this segment comment on the order patterns for both the port equipment and the material handling side of the business.  (Ice)?
(Ice Rom): First talking about the port business, we had a moderate growth in terms of the standard business which we have there.  I'm talking about mobile hover cranes but the big jump came from the two orders which we got in the (bottom of the) port business and that was one from – one of them was (Gateway) of about -- and I'm talking now in Euros.  It is EUR117 million.  It's a bit more than $200 million and the second from (18 mili terminals) which is up about EUR43 million. Unfortunately as you said already, Ron, that we will not see the revenues because it is outside the 12-month period we are looking here.  But that is indeed a big, big jump and as we say, a major breakthrough to really have now showcases for our automized port business. And regarding the material handling side, here we have all in all a flat development in services, a very slight decrease in the industrial cranes business, mainly because of Western Europe.  Not Germany, Germany is still stable, but portions of Western Europe.  I think that's all to say.
Schon Williams: And then follow-up, you talked about in the slides you've identified some projects for cost savings and it gave you some confidence for some 2013 developing.  I guess, could you give a little bit more clarity on exactly what some of those projects are and then have you given any formal guidance for 2013 goals?
Ron DeFeo: The answer to your last question is no.  We have not given formal guidance to 2013 goals.  With regard to cost reduction and cost management projects, as you might imagine, it really covers a wide spectrum of things. First, as I have said historically, in the beginning of a recovery, component suppliers usually see the recovery first.  When they see the recovery, they increase their prices and we, as kind of a middle man assembler, have difficulty recovering those cost increases from our customers because the customers haven't yet seen a recovering end market. So we needed to offset some of those supplier cost increases that we got at the beginning of this recovery.  We're well underway of having done that at this stage.  Now it is our chance with the overall market flattening out to many of our component suppliers to push back, to source differently, to look for additional opportunities and that happens with steel, steel-related components and those kind of things.  So that'll be a major area of emphasis. About 75% or so of our cost of goods sold is actually purchased components.  So that's where a lot of the action is.  In addition, I think our team's doing a good job controlling head count. We are adding people very judiciously.  We are adding many more direct workers than we are indirect workers and we are controlling the SG&A expenses pretty thoroughly. So there's no major factory shutdowns that we anticipate at this moment in time.  That's not to say that there won't be but at this moment in time we don't have that in our horizon. And frankly, factory shutdowns play a lot better in the boardroom than they do in the marketplace because they're always a bit harder to execute than you really think.  So I think we're operating both on a cost basis, from a people and people management, and on a supplier relationship basis pretty well and that's where the activities are.
Operator: Your next question comes from the line of Robert McCarthy - Robert W. Baird.
Robert McCarthy: About the cranes segment, I'm interested in order patterns in that business.  I wondered if the relaunch of the AC1000 contributed to the strength that we saw in the order book in the quarter and if it did, can you give us an idea of what the order book would've looked like without that influence?
Phil Widman: Well, it was obviously a strong quarter for us on the order intake side and it actually accelerated through the quarter with June being our strongest month.  So we feel pretty good about the level of demand that we're seeing as being strong. We're being selective to some extent in making sure that we're taking the right orders from a price perspective, as you know, but generally we feel very good. As far as AC1000, we do have it out in the field working with customers now and through all reports, operating flawlessly.  However, it did not impact at all as we have not taken revenue at this stage on any of those yields
Ron DeFeo: We've not booked any orders yet on the AC1000.
Phil Widman: Correct, so it had no impact, Robert, but we feel good that it'll be commercially available and will have an impact in Q4.
Operator: Your next question comes from the line of Andy Kaplowitz - Barclays.
(Brad): Digging in and following up on the cranes question, can you talk about sort of more specifically what markets are really improving and how your visibility is into those markets and then, along with that, what the competitive market is looking like?
Ron DeFeo: I think as we look at the crane business overall and now we're focusing on here the mobile crane business, the construction business, not the industrial crane business.  Just to be clear, we're talking the mobile crane business. The North American market has been very good for us.  It's been strongly recovering.  That began last year.  We had to add a second shift in our Waverly, Iowa facility, so we've added capacity to meet growing demand.  That demand is both across North America and even down in Latin America and South America. South America has also been quite strong for some of our other global products.  Our European business has been, I'd call it, flat to maybe up a little bit, as Kevin has indicated.  Our Australian business has been solid and some of the developing markets, Turkey, the Middle East and some of those markets have been quite, quite positive for us. So here's where a global company and all the work that we had over the past couple of years when it was painful to lay in expenses is now beginning to pay dividends.  We're getting crane business in Russia. Steve Filipov is on the call from Russia today.  We're getting business in Brazil.  We're getting business in Turkey where we had to invest first in order to get revenue.  So I think that's where it's paying dividends.  Steve, do you have anything you want to add on that?
Steve Filipov: No, I think you hit the highlights, Ron, yes.  I think generally all those markets are pretty much growing, outgrowing for us.  Africa is definitely a focal point at this point.
(Brad): And then just a quick follow-up, I noticed in your slides you mentioned that customer access to capital was a challenge in the EU.  Can you just elaborate on whether that's any particular customer segment or geography and if you have any thoughts to more aggressively ramping your own finance business to take advantage of that situation?
Phil Widman: It's pretty consistent across customer base, not really targeted in particular.  Again, you're looking at how people finance their companies, also, in this equation.  The way we structured our financial services in Europe, we are not a direct lessor.  We work through partners and we also do take some back in our books, but it's only about $15 million on our books for Europe So we continue to expand that but it's difficult to get it to be totally meaningful in that regard but we do work very closely with many partners and it's more a function of the general economy than it is anything specific with what we have.  So it's a challenge out there I guess is the way I would characterize it.
Ron DeFeo: I want to add to that from the cranes perspective, the way we're mitigating some of that is by working more closely with the customers proactively up front and with TFS to make sure we've got solutions in place. We are binding the solutions that tend to be more conservative structures, more money down, lenders that are looking for basically positive collateral coverage day one.  So we are getting very involved in coming up with the right structure so that we can move the products into the market.
Kevin Bradley: I think what I would say is the work is there.  The products are getting older but the financing is more challenging.  So rather than having the financing fuel the growth, the work is having to pull the growth from – and people will pay for the financing that the value added is sufficient and I think this is typical of our business And this one thing I guess I'd like to say is that this really feels like a normal business environment to me.  Now people are somewhat concerned but I've been running this business now for 20 years and with the exception of about two years, 2006 and 2007 and 2009 and 2010, which were – you were a hero or a goat depending upon which side of the curve you were looking at.  This feels like a more normal environment.
Operator: Your next question comes from the line of Henry Kirn - UBS.
Henry Kirn: With the North American rental channel, have you seen the small rental players come into the market in any meaningful way and can you maybe at least address some of the initial price discussions with the large rental players?
Ron DeFeo: Tim, you want to take that?
Tim Ford: Henry, I would say the market is tracking the exceptions regarding the independents.  Typically we see the larger players come in with their big buys in late third quarter, fourth quarter for first half delivery. When I look at the backlog as of today, more than 50% of our backlog is with what we consider to be the independents or the small to medium sized guys, which actually feels pretty good given the cycle we're in. With respect to pricing, we just announced our 2013 pricing last week and it'll take a little time for the dust to settle on that and for us to get into real full negotiations.  But I think the marketplace knows where we are. Costs have risen faster since 2008 than pricing has and I think it's largely to be expected.  So we feel we're in a strong market.  We think the opportunity is there and we're going to continue to pursue that.
Henry Kirn: And as a quick follow-up, Ron, have you seen any customers ask to push back build slots and has that effected the medium-term visibility in any of the businesses in that portfolio?
Ron DeFeo: Pushing back build slots.  Is that your question?
Henry Kirn: Yes, where they had an order in and asking to push the delivery of the order back.
Ron DeFeo: I think the only people we think that happens with is the analysts that follow us because we don't really see that.  We don't see that.  Nobody's pushing back build slots.  They're planning their business
Phil Widman: Better than last year.
Ron DeFeo: Yes, much better than before.  This is not 2009, 2010 at this point in time.  Now, can a calamity happen?  Yes, it could probably happen if Europe doesn't – if the policymakers in Europe drink an espresso and don't really deal with reality.  I think that could happen but I don't think it's going to.
Operator: Your next question comes from the line of Seth Weber - RBC Capital Markets.
Seth Weber: The 3.4% price increase for next year, will that cover your tier four costs or will there be an incremental surcharge for tier four?
Tim Ford: The pricing that we announced is really for standard product.  Tier four is not included in that and we've got to sit down with our customers and work through tier four questions.  That is exclusively tier four.
Seth Weber: Is there a rough estimate of what percentage of the portfolio's going to be affected by tier four next year?
Tim Ford: It's a pretty small percentage of the overall portfolio if you look at the range of products but the products that are affected are high dollar, so it's not – I wouldn't look at this as a significant additive to the 3.4% but it'll be meaningful.
Seth Weber: And I guess on the crane business, you notice some increased crawler demand.  Can you maybe frame that for us?  What applications those are going for, what regions?  Just help us understand where that demand is coming from.
Kevin Bradley: It's broad-based in terms of where they're going.  It's in the 400 ton and over class, which is where we're the strongest and ...
Ron DeFeo: You might want to emphasize that again, where we're the strongest.
Kevin Bradley: Where we're the strongest in that class.  I would also point out we have a very exciting product list coming out in September in the 600 to 700 ton class.  It's the Super-lifter 3800.  We believe it's a market-beater and we're very excited about that launch coming up with commercial availably in the fourth quarter.
Seth Weber: Fourth quarter of this year.
Kevin Bradley: Yes.
Seth Weber: But just from where the demand is coming from today, is it North America or is it Middle East or can you just give us some color there?
Kevin Bradley: It's broad.  It's North America, Latin America, Middle East and some parts of Asia.
Operator: Your next question comes from the line of Joel Tiss - BMO.
Joel Tiss: I just wondered two quick things.  A lot has been asked.  Just on the debt side, can you give us any sense at all if you plan to just refinance the bulk of what's going to be callable in the next 12 months or do you think there's going to be a better mix between refinancing and paying it down? And then I just wondered if you could give us a sense of what boosted the material processing operating margin so much in the quarter.
Phil Widman: In terms of the debt plan, obviously we're looking at our cash flow generation in the second half.  In August, the prepayment penalty on our term debt goes away, so there will be no restrictions ongoing after that.  The 8% notes are callable in the fourth quarter and the ten and seven-eights next June. Our thinking would be probably to look at the cash flow and picture for '13 to think about the refi if rates stay where they're at.  But we're also going to be aggressive about using our cash that we've generated. So I say it's going to be a combination, Joel, in terms of our plans.  There's obviously some restrictions around the call times on what we have but it's pretty favorable from a refi standpoint but I don't think we'd do much of that until next year and work with our existing cash in terms of what we do today. The second question, I will make one comment and then maybe Kieran can comment.  We did call out in the press release that we put one of our factories, (Coalville), in England back in operation. A year or so ago, we had planned to shut that down but given the capacity requirements in our large jaws, we reactivated that.  That provided $2.4 million of positive operating profit because we reversed the reserve that we had set up. I will point out that total restructuring for the company in the quarter was offset -- that largely in less than $1 million net of that favorability hit operating profit.  So that did provide a 1% to 1.5% positive improvement and I think Kieran may want to comment on the other operational affects.
Kieran Hegarty: Effectively most, again just coming from price realization, of our supply and demand in terms of our forward planning was probably much more aligned of any than in prior years. Cost control, we've had reasonable savings in terms of we did longer term (inaudible) for example.  So obviously stay pricing on a year-on-year basis has been softer, so it looks good. Good cost control performance and I suppose realistically as well as the rest of the corporation, we're probably seeing some of the ongoing benefits from some of the cost consolidation actions that took place in 2010, 2011. So really it's again, just like the rest of the corporation, it's better price realization and better cost control and good costs or just around the whole SG&A, the controls around that.
Operator: Your final question comes from the line of Philip Volpicelli - Deutsche Bank.
Philip Volpicelli: Half was answered with regards to the refinancing but as you look at your cash balance, how much cash would you want to keep on the balance sheet Pro Forma; any refinancing of the debt that you would consider either later this year or early next year?
Phil Widman: With the availability of what we have in the revolver, I'd say it's about $450 million, order of magnitude.  We'd probably need about $300 million, $250 million to $300 million of cash given just the size of the company and the geographic disbursity.
Philip Volpicelli: So you could have a substantial pay-down of debt if you chose to do so?
Phil Widman: It depends on our assessment of the business as we go through it because we do have some seasonality in our cash needs and the timing, but yes, that's definitely a possibility
Ron DeFreo: Well, there's – yes, as I indicated in my remarks, there is substantial value creation opportunities still in front of us from continued focus on margin, cash generation and Demag integration.  Those things will drive substantial opportunities for us.
Philip Volpicelli: And Ron, do you think at this point that the best use is to pay down the debt or are there other acquisition opportunities that could make sense for you?
Ron DeFeo: Well, there's no large acquisition opportunities that we're considering at this point in time,  I think -- and by that, I wouldn't interpret the large comment to mean we're really active in acquisitions, either. But there's a few things that are strategic that we'll pay attention to.  But I think in the short term, the best thing for us is to continue to demonstrate our execution on our base businesses, prove out the MHPS addition to our company as a value-creating. It's already creating value for us.  The real question is is it going to be able to achieve the kind of goals that we have for it, which I am pretty confident it will.  But there's integration work that has to happen. Improve your balance sheet because I think doing that further bolsters our ability to do other things and then sometime down the road we'll look around and see what else we can or should do.  But right now, I think our focus continues on basic execution. All right, thank you, operator.  I think that probably it for the call and we appreciate everybody's attention to Terex.  If you have any additional questions or comments, please follow up with us.
Operator: This does conclude today's conference call.  Thank you for your participation.  You may now disconnect.